Operator: Ladies and gentlemen, thank you for standing by, and welcome to Sber Third Quarter 2021 IFRS Results Call, hosted by Sber Management Bank team. [Operator Instructions] I must advise you that this conference is being recorded today on October 28, 2021. I would now like to hand the conference over to Anastasia Belyanina, Senior Managing Director, Head of Business Evaluation and IR. Please go ahead.
Anastasia Belyanina: Thank you very much. Good afternoon, everyone. I hope that you all are safe and sound. Thanks for taking time and taking part in our regular call. So we will discuss today our third quarter results as well as nine months for the Sber Group. I hope you all had a chance to review them and have prepared all interesting questions. So you'll be able to ask your live questions after the presentation. We have our regular speakers with us. We have our CFO, Member of the Executive Board, Alexandra Buriko and we have our Chief Risk Officer, Dzhangir Dzhangirov with us. So before we move to this interesting part, let me do some housekeeping. It will be very short. So please be aware that our call is recorded and the transcript will be available shortly afterwards. The call may contain some forward-looking statements regarding future events and performance and actual results may differ materially from those expressed or implied in the statements during our call due to both unknown and known risks and uncertainties. For more information, please refer to Slide #2 of our presentation. Now I open the floor for our CFO, member of the Executive Board, Alexandra Buriko.
Alexandra Buriko: Anastasia, thank you very much and good day, everybody and thank you for joining us today. I'd like to start with some of our reporting period highlights. In the third quarter, we have earned the highest quarterly profit historically of RUB348.3 billion, which corresponds to a record of RUB978 billion for the nine months period. The net profits includes a one-off gain of RUB65 billion on sale of discontinued operations or for the Eurocement Group. We discussed this transaction in detail during our second quarter call. Our earnings per share reached RUB16.28 per share up by 38% year on year and return on capital reached 26.8% while return on assets was 3.6%. We continue to show solid growth in our client base. The number of our active retail clients reached almost 103 million and 3 million corporate clients, and then engagement improved to over 71 monthly and almost 36 million daily average users for our flagships Sberbank online application. We are very pleased with the dynamics in the integration metrics that our echo system demonstrates. This placebo loyalty program coverage exceeded 53 million users. Our clients now actually use placebo bonuses within our ecosystem. In Q3 utilization of placebo increased almost threefold compared to the second quarter. This is an important growth driver for our new products and services, particularly in electronic commerce. Our unified blogging, their ID that gets access to 135 services over their ecosystem and our partners is now used by 27 million clients. The number of their prime subscription is ramping up and reached 3.3 million at the end of the third quarter. And now we see as over 3.7 million. The other new businesses into their prime, our subscribers now can access to the medicine services and doctor appointments via their and buy insurance products from their insurance with nice discounts. To sum up, the group earnings generation momentum remains very strong and market trends are supportive showing continued recovery of the Russian economy. Now let's have a look at some macro trends. We estimate the GDP growth in Q3 at 5.1% year on year according to our in-house analysts. Surprising the pre-crisis level, which leads to our more big view on the full year 2021 GDP growth close to 4.5%. The economic activity has already exceeded the pre-pandemic level. For example, the retail trade energy expanded by over 7% while construction by 6%. A lot of the rational economy is related to rising inflation. It rose to 7.4% year on year in September. Our in house end of the year inflation forecast was raised to 7.6% year on year. We expect that central banks continue their monetary tightening with the end of the year reaching 7.75%. At the same time, we shared the view that this year accelerates inflation is temporary to follow with moderation to 4.2% as soon as next year. Then employment rate is close to record lows now at 4.6% and the labor markets remain tight. The real wages are growing in line with the GDP growth, which brings down the risk of the economy overheating in the short term. This year strong consumer spending is increasing retail trade volume, which is set to reach over 8% growth year on year in 2021. The consumer demand was supported by state taxes to certain social groups in the total amount of RUB670 billion or 0.5% of GDP. The recent trail in the commodity prices is setting a strong ground for further roble appreciation towards the year end. Now let's return to our results, first some words on the core business. The gross operating income before provisions expanded by 5.3% year on year to RUB623 billion in Q3 2021 or by 14.3% year on year to RUB1.8 trillion for nine months period. In the third quarter, we classified say it for the subsidiary bank in Ukraine as restricted assets due to certain regulatory restrictions that do not allow the group to adequately manage dimensioned assets. Thus we have formed certain provisions in relation to those assets in the amount of RUB33 billion. As for our net interest income, the group and NII increased by 14.2% year on year to RUB470 billion into Q3. Let's have a look at loan portfolio and funding. Our gross total loan portfolio reached RUB27.5 trillion and grew by 4.9% during the quarter or 9.9% year to date driven by robust performance of our retail group on the back of economic recovery and strong demand and funeral on portfolio grew by 7.5% in Q3 with almost 80% of retail loans originated from line. The demands in the segments were supported by social payments and strong nominal wages growth of over 9% in Q3 according to our in-house index analogies. Mortgages were up by 6.4% in Q3 to RUB6.3 trillion. We are happy to confirm that demand remains quite high. Our own offers as well as attractive programs with our partners, developers and construction companies keep the momentum going. On the corporate front loan growth was up by 3.8% in Q3 to RUB16.5 trillion or 4.8% year to date. The portfolio was affected by the repayments of loans by the state and municipal institutions on the back of the replacements of their desks with budget funding. Excluding this one off, the corporate loan book extended by 5.3% in Q3. Small and medium business loan portfolio expanded by 32% from the beginning of the year. Anything over 650 billion that's for funding volumes in the retail segments, we saw inflows all over 2% for Q3 17.3 trillion with stronger inflows. Finding on current accounts, the share of retail currency accounts of total retail financing expanded to 43%. Corporate deposits increased by 6.7% in Q3. So RUB11.6 trillion. Now look at our net interest margin. You can see that the group net interest margin increased by 14 basis points to five points, 36% in Q3. The positive factors that influenced our net interest margin. This quarter included continued repricing of corporate floating rates for Volos on the back of market. Market-facing increase floating rate loans. And now we count for 44% of corporate. As a result, the corporate loans you'll for up by 50 basis points to 7.7% in Q3. Second asset mix is changing with the growing share of retail book. Now 40% of total loop retail, third sizable portion of mortgages issued under the state test the program. Now 18% of the mortgage. First of all, it is your pricing with market-rate and finally present sheriff currently accounts of total funds, restructure structure supports net interest margin as well. Now it is at 39%. Some of the negative impacts on our Amber. They increased the combined cost of funding by 33 basis points quarter on quarter on the back of market-rate moves. The cost of corporate term deposits was up by 77 basis points, quarter on quarter in Q3 and the cost of retail term deposits expanded by 31 basis points quarter on quarter due to a certain promo auction. If we approached the year-end, we are now more upbeat on our full year 2021, and I am outlook creating our guidance to over 5 25 driven by the continued efforts through pricing of corporate loans and improved ethnics. Now let's have a look at our pain season. Next season, commissions income grew by 11.2% year on year to 164 billion rubles in Q3 demonstrating and more normalized phase of growth as compared to the first half of the year. Income from banking cards, operations up 25% year on year in this quarter, but driven by strong acquiring business, total payment volume that captures declining payments and money transfers into three in moms to 15.6 trillion up by 30% year on year with meaningful growth across all main areas. If you're a member you're very strong in transportation acquiring. Now, if it's available 147 Russian CTE, and in Q3, we crossed the milestone or 1 trillion transactions. The number of partners that joined their faith in service is 65,000. And now it's their pay. Monthly audience increased fourfold over the quarter to 4.4 MI. Now let's turn to our wealth management and risk insurance business. First Sunbelt's managers and loss management business operating income group by 14.2% year on year. And they see this 19 billion in assets under management increased by over 5% to 2 trillion, their pension fund reinforced the top three positions by assets supported by that position of Renaissance pension funds are pension funds maintain so prank in terms of returns for nine months twins 21, according to our estimates and the Sharon listen product sold online reached 50%. The inflow of funds to our closed and real estate mutual funds increased four times over Q3 and reach 16 dealings. Now let's have a quick look in risk insurance in this segment operating income before provisions was that by 18.2% in Q3 to 25.3 billion rubles, there both dynamics are supported by strong retail and mortgage lending, as well as convenient origination courses. Again, about 50% of all the risks insurance sales in Q3 are done online. We also know that there's growing it's insurances with corporates insurance premiums growing in portfolio year on year into three, we continue to launch new products that I feel to our client's interests. The summer we answered the second largest risk insurance market or voluntary health insurance and partnerships and rolled out voluntary. And also third-party liability insurance. There's now offers both own programs and programs of our partners. Now let's have a look at our closet growing nonfinancial business they've been used from there's nonfinancial business grew by a 2.6 times into three year on year to RUB47.6 billion or 2.8 times to RUB110.2 billion for nine months. Period. The biggest contributor to the results was that our electronic commerce showing RUB28.1 billion in GMV in Q3 growing 10 times year on year with our grocery heading three are two grocery businesses. Their markets and markets together maintain their market leadership with a combined share of over 30%. It was a better market. De-Lever 13.3 billion in GMV rolling almost three times in Q3 and increasing the number of, or there's four fold to 6 million. The market must be active. Buyers reached 1 million. It is diversifying and services. Now piloting stress delivery and testing, and you operate in format of a dark store model in partnership with one of the largest retailers. That's first is GMV reach 10.6 billion growing 4.7 times here on year. So my five monthly active users increased five times a year in a year with a number of quarters growing portfolio. Again, you're in here in Q3 to almost RUB19 million, having almost 760 dark stores in the country. Now is one of the largest networks operating under the dark storage delivery model globally better mega market that was launched in the second quarter of 2021 is ramping up its business. Its Q3 GMV reached RUB6 billion increase in 2.3 times as compared to the previous quarter. And our entertainment industry generated RUB3.4 billion in revenues, which is up 1.8 times a year in a year. The number of users who the subscription access to our audio streaming service increased 4.6 times year on year to 3.7 million customers. And the company stands this music catalog two 65 million tracks and launched a unique format. Customized audio stream called the weight. The number of subscribers to our awkward video streaming service, which is 4.5 million, including 3.3 dead prime clients on the back of investment in content in interest clients offers the most views was their original series survivors. Please note that in Q3, we account for a bit of prime subscription in the entertainment sector, footsteps and mobility is increased 3.1 time year on year and reached 4.7 billion. The number of restaurants and shops services by delivery club reached four to seven and a half thousand, I think eight and a half thousand. Since the beginning of the year, you see maintains its marked bleakness citation in ready to delivery. Our don't clique monthly active users was only 16 million at the end of 2, 3, 4 fold over the year. The naming is from additional services, exceeded 3.8 billion for the quarter. And the B2B segment revenues increased 1.6 times a year on year. It's almost 13 billion. Well, even that came at 3.1 billion in Q3. It was their cloud saving you group 2.6 times to RUB2.3 billion in Q3. Let's have a look at our operating expenses. Our operating expenses increased to 210 billion rubles in Q3 up by 20.6% year on year and 15.1% to RUB514.2 billion for nine months period. The last reason line with our guidance level of low twenties teens growth for the full year, it carries out to regular annual salary reviews during the summer, which together with a 2% headcounts increase and potent calendarization impact. Explain the inflationary is in dynamics in the optics line in Q3 2021. The number of employees increased to 282 thousands primarily due to nonfinancial segments that showed robust revenue for what is remarkable is the cost to income ratio of the financial business decreased below 30%, both in Q3 and for the nine month serious offense to insurance. Now I would like to pass the floor to our Chief Risk Officer, Dzhangir Dzhangirov to discuss Costa Rica and our responses.
Dzhangir Dzhangirov: Thank you ma'am and they found that out without telling their colleagues. We see improvement in the quality of photo key segments. As you can see both non-performing loans and total portfolio, as well as sheriffs improve them in the first quarter, based on that total provision coverage of state standpoint loans increase from 101%, 105% on the next slide we see that stage one share in total portfolio increased due to the growth of total portfolio initials of the new good loans. In the third quarter, we see that sheriffs stage two is stable and the mouse 7% and decrease of stage three share and coverage were caused by a recovery in the repayment of loans of what I already said before cost of risk and third quarter amounted to 85 basis points mean due to increased expected rate losses in certain loans. And now expected arrange for cost of recent 22 1 21, that it means in in the range of 70 to 90 basis points. And most probably we will see cost of lease to be in closer to the lower bound of this range. So on RWA side, we have not that positive news. So what level eight density increased by two percentage points due to following two reasons? The first effect is caused by a market risk market risk RWE increased by 500 and them or Robles or out of increase in density. It, it is this increases responsible for 1.2 percentage points and that happened due to growth of futures and options with clients and Hendrick transactions. And we believe that here we have potential for improvement and that are imperfections in the regulations in the central bank regulations. And we believe that we may central bank of Russia may improve regulation for Microsoft so that we get RWA for market risk back. The second significant effect is a, but also for retail macro don'ts, which increased by incremental RUB320 billion or a 0.8 percentage point. We partially compensated this growth by, I had to be models and optimization of IRB models for retail which amounted to RUB240 billion. However, this was one of the facts and this will be difficult to compensate such add-ons and I had to be models in force in the fourth quarter. And so that's all on my site and I pass the baton back to Alexander.
Alexandra Buriko: Thank you very much. Let me now continue with our capital. I was total capsule reached 5.4 trillion in the third quarter up by 5.7% quarter on culture. Our capital adequacy ratios decreased by 10 basis points to 13.95 for CT one. And by 13 basis points to 14 point 36% for tier one for the quarter while the total capital adequacy ratio was down by two basis, points to 14 point 83%. The decrease was caused by the increase in RWA during the quarter that you just explained. Now let's turn to our tech leadership. You know, that reducing time to market is a crucial CPI for us. This is why we closely track the number and the speed of technological changes in release. And for nine months, their number across the market, 790,000, the number of external it specialists who partners to develop products using platforms like [indiscernible] smart market, SberCloud increased by more than 10 times since the beginning of the year to 29,000, the smart market, a platform of smart apps that allows development of applications in teaching new skills or virtual assistants already has more than 8,000 up 60%. These devices have now a new feature that allows to pay with face ID and voice. Come on the number of monthly active users. So fellows voice assistant RUB65 million in Q3 since the launch of the service last September, about 21 million users have said 267 million requests that the voice assistants process their cloud clients now have access to smart speech technology service, which accelerates the engagement of speech technologists in chatbots and voice assistants in call centers, online stores and support service. Now let's have a look at our ESG agenda. We keep on our LG integration across all businesses and processes. In the third quarter, we've worked out the in-house methodology for the ESG scoring of our corporate boring borders. As we collected and analyzed the appropriate is G data from large and medium sized business. Our portfolio of green and instilling flows keeps on increasing gradually and was that by 12% during Q3 to 140 billion rubles, this supervisor board approved our booth green bond program and green bonds. One framework that specifies selection criteria for eligible projects in Q3, we approved methodology and launch stress testing for transition is jury very heavily involved in the development of the national phony, which was approved in September. I would also like to announce that on the 24th of November, we are planning to have a deep dive in this G where we will discuss the status integration as a there. Now let's have a look at Terrell guidance update based on the recent trends. We have revised that our outlook for the sector, and now we expect the retail lending growth at 20 to 22%. This year, corporate lending pros at eight to 12% this year, and corporate funding growth of 20 to 22%. They're expected to perform in line with the sector across all segments and retain market share. As for our numbers, we expect that our average money for the year will exceed five point 25%. We keep our cost of risk guidance changed as chunkier already mentioned at 70 to 90 basis points. As we take into account potential COVID waves before year end. At the same time, we are more inclined towards the lower end of the guidance range about 70 BP given the current cost of three primary. And on the basis of that, we also raised our return on capital guidance over 23%. So kind of close. I would like to say that 2021 is proving itself to be very sound you're thus far with strong top-line dynamics, recovery as quality and favorable nutrients. This momentum is forming a solid base for the beginning of next year. And we will share with you thoughts on the next year when our capital markets date mid December. Well, this, I would like to wrap up our presentation and we are ready to take your questions. Thank you very much.
Operator: [Operator instructions] We'll take our first question from Mikhail Butkov of Goldman Sachs. Please go ahead. Your line is open.
Mikhail Butkov: Good day. Thank you so much for the presentation. My first question is on average loan and deposit yields for the retail segment. As we conceived for the asset yield had actually slightly declined in the third quarter while the deposit was slightly up while the policy rate had increased quite remarkably over the last half a year. So what, what explains to these dynamic and what would be our outlook for the next six to 12 months here? Thank you.
Alexandra Buriko: Thank you very much for your question. I think on the guidance we already gave all the updates. Our name in Q3 was 5.36%. And our expectation for the year that we will be about 5 25. Obviously as you look at the deposit costs, it's very clear that the deposits start to reprice together with the curate change, especially as the short-term deposits that we have with our corporate clients. Well the retail deposits were more stable. However, we still had some promo actions, as I already mentioned, that led to repricing of retail deposits, as well as you look at our loan books, we still have the situation that the front book is yielding lower while we have some of the loans that were basically that are outgoing from previous years with the higher interest rates. So this situation has not changed drastically. Despite a recent rate hikes we are lucky to have over 40% of our corporate book curling to curate. So that part is obviously repricing together with the curate, which supports our margin, but one the fixed rate side in particular, on a fixed rate portion of housing loans we still have the situation where the bag book is yielding higher and the front book is yielding lower so far. As you can see on the market there were no significant increases in in the rates on the housing loan desktop. Thank you.
Mikhail Butkov: Thank you. Thank you. I have another question on the non-financial services. So you had recorded RUB122 billion rubles of revenue in the nine months, and you got in more than RUB200 billions for the full year. So can you maybe share some outlook for the first quarter? Do we plan to launch some promo campaigns where the most of growth can come from? Yeah. And maybe if you could also comment on the performance of goods. True segment. Thank you.
Alexandra Buriko: Sorry, can you repeat the very last part of the question? I understood the first part on the nonfinancial services and the run rate but the very last point that you asked.
Mikhail Butkov: Yeah. The last point was on goods.ru segment. So how that performance, what can you disclose on that?
Alexandra Buriko: Okay, perfect. Obviously you can see that the, the increase in comparison to last year is quite good increased in terms of revenue, 2.8 times for the nine month period that what allows us to expect that we will see the 200 million targets for revenue overall the key drivers as I already mentioned, the key driver of revenue, phase our e-commerce business that is growing very rapidly, and we think is our e-grocery players and their market of course. They seasonally generate higher revenues in Q4 and we expect that during our traditional dream day in November this products and services will also have some boosts. And of course before New Year’s generally there is upkeep in consumer spending that will positively impact also of those products and services. Generally speaking you can see the dynamics quarter on quarter, and as I said the, this is not that we expect allows us to forecast. The two will exceed RUB200 million in Q4 in terms of that we now called mega market. I mentioned that we launched and rebranded it in Q2 and in Q3 it's already increased GMV by 2.3 times in Q3 in comparison to Q2. So it's a very good pace and respect that it feel grow faster, supported by our loyalty programs placebo and other marketing efforts that we will undertake as I said, during green day and our new year's March communities. Thank you.
Mikhail Butkov: Great. Thank you. And just the one final question for me is on them upcoming update from the central bank on the ecosystem consultation and regulation paper. So what's, what's your expectations from that? And based maybe on some of the, your latest interactions with the regulator and what would you expect from that? Thank you.
Alexandra Buriko: Thank you very much for your question. So far it is too early to give you any affidavits. We are still in discussions with the regulator of the paper that has been published and we expect that they will publish some update before the end of the year. So, so far it's basically too early to predict what exactly will be included in in the update, but the year in the constructive dialogue. Thank you.
Mikhail Butkov: Great. Thank you very much.
Operator: We will now move on to our next question from Mikhail [ph] of VTB Capital. Please go ahead. Your line is open.
Unidentified Analyst: Thank you very much for the color and full presentation. A couple of questions for me. First of all, again, talk a little bit more about interest rates and net interest margin dynamics. Specifically, if you could update us please on the since you do have a net interest margin to 100 basis points increase in the rates, if it has changed recently and where it stands right now. Thank you.
Alexandra Buriko: Mikhail good day and thank you very much for your questions. As we previously stated, we are now positively sensitive to increase in the cure rate and at the moment our sensitivity is between five and 10 billion to parallel move of of the coast. But of course you have to be aware that it's, it's unlikely that the curve would move in parallel. So it's not, it's not exactly that we anticipate that this will be the impact still we expect that recent rate hikes and the hype that we anticipate still take place before the end of the year will impact our NIM and NII in a positive way and this is what we have already incorporated in our guide. Thank you.
Unidentified Analyst: Alexandra thank you. Just like, could you please repeat the sensitivity number, the line broke exactly at the moment when you were talking about, sorry. Thank you.
Alexandra Buriko: Sorry. Yeah. It's between RUB5 billion and RUB10 billion, two parallel move of the curve. Yes.
Unidentified Analyst: Lovely. Thank you. And the second question is actually also about regulation, but this time, not about an ecosystem which you already commented about, but traveler then draft a law in the parliament, which is basically giving the right for the TBR to limit the growth in the certain unsecured consumer longer of segments, given that the regulator has been sort of fairly long time expressing concerns about the pace of the marketing growth and given your market share one of the big drivers. I wonder what you are thinking about the possible implications of this when it comes into fourth. Thank you.
Dzhangir Dzhangirov: Thank you very much for your question. As we, as we've seen during this year central bank holiday, there increased the macro add-ons already two times on 1st of July, they increased them back to the pre-chorus levels and starting from 1st of October, they introduced collateralized loans macro add-ons even served there. So these effects did not lead steel for the pulling down of the market and central bank considers that certain limits for the shares of the loan with a certain beach area inch or LTV range, or our set limits might be a more effective in the future. So as they already announced that on several conferences in their in their documents they, they consider those there's also limits to be more effective than just economic Adams.
Alexandra Buriko: If I may just at the quick point to what junkier was saying we believe that inevitably it will lead to certain slowdown in consumer lending, how however we expect that impacts on us will be definitely not more than on the markets overall. And we will maintain or increase our market share in in this area considering our risk policies in general are responsible approach to the market. Thank you.
Unidentified Analyst: Thank you very much for helpful. Thanks.
Operator: We will move on to our next question from Gabor Kemeny from Autonomous Research. Please go ahead. Your line is now open.
Gabor Kemeny: Oh, hi. A couple of follow-up questions from me. First one is on the capital requirements. Do you expect a further increasing in RWA density from the new macro Ag loans, which are effective from October? So if you could give us a sense of how your capital ratio could be affected by the, by the new regulations going forward. Yeah, that's the first one. And the other question is on the margin, I would look fear, which, which is a little bit broad, I mean, about five point 25. You were already above these levels in the third quarter. If you could give us a better sense of how you expect your margins level of in the fourth quarter, and the reason why the third quarter dynamics would, would not be a fair indication for the fourth quarter, for example. And just a bit, a bit more specific question on, on margins. If you could, if you could please comment on how you are pricing the deposits the new deposits are right now and how this compares with the back book. Thank you.
Dzhangir Dzhangirov: Okay. Thank you very much for your question Gabor. So based on the increase Metro, this year, of course, a double identity for our retail portfolio will continue to grow. And in this inevitable in the same time this, those ad-ons are already implemented in our risk return based lending policies. So it's all included in our strategy and will be taken into account in the budget.
Alexandra Buriko: Yeah. And now continuing with your question on the margin, as you know, Gabor, we don't really guide the quarterly numbers, but considering where we stood during the first half of the year and what we have in the third quarter, we expect that we will exceed this 5.5 mark for the year. But most likely it will not be very significant and we expect that the margin will remain somewhat elevated as we go into the first quarter of 2022 however, eventually the repricing of retail deposits will take place and this will obviously put a significant pressure on the margin. This year ourselves and the markets we were very hesitant to make any significant activity in repricing the deposits. And we have been very lucky in terms of the share of current accounts as well. Also held by a recent data, subsidy programs and distribution made to different categories of the population but that that should eventually come to an end, unfortunately. And we already recently launched several promo actions that elevated the deposit trades while the main line of the deposit has not been repriced during this year. We inevitably need to move it up through various marketing and promo sheets. Obviously not the driving force here and as usual we will hold the March on that.
Gabor Kemeny: Thank you. As I understand your new retail deposit is still around 4%.
Alexandra Buriko: For, new money, we obviously erase the race course or to what you see the key rate or what you have recently seen as the curate otherwise we would lose the competition, but that does not mean that the full line is repricing. We enjoy quite a large March chair in the retail deposits, but the new money you're raising the rates above six and a half percent.
Gabor Kemeny: Understood. Thanks. And just to find a clarification that the five to 10 billion rubles upside from the parallel rate moves was that for 400 basis points of freight move or something different
Alexandra Buriko: That's right. That's a parallel move by a 10 basis points.
Operator: We will now move on to our next question from Nida Iqbal of Morgan Stanley. Please go ahead. Your line is now open.
Nida Iqbal: Hello, thank you for the call. My first question is on the nonfinancial investments for spare mega market. Can we get some color on the SKU is in merchants that you have on mega market and also possibly the mix of SKS.
Alexandra Buriko:
Nida Iqbal: We're approaching 3 million and the number of merchants we expect to exceed 5,000 by the end of the year.
Nida Iqbal: Thank you. And then just again, on the nine financial side of things competition is quite intense from the looks of it. Do you think this could mean higher investments than previously guided for?
Alexandra Buriko: Yeah. Thank you for your question. I can't believe that we died. Our in essence specifically broken down by industries the major parts of the investments that the empty space as it relates to our fulfilment sensors that we're going to build over a period of our strategy and that is will remain intact. So that didn't really change significantly in terms of cash burn that various players require it does move from quarter to quarter, but we do not send his fate that they need changes would be significant in relation to our overall profitability levels or in relation to our capital. You have to know that in e-commerce in particular in grocery, we already hold a leading position which makes us basically coarser on the past to profitability vis-a-vis our competitors.
Nida Iqbal: Thank you. And then on the finance though, on the loan side of things with the recent CBI type thing measures, plus, you know, the rate hikes that we're seeing, should we be worried about mortgage loan growth into next year?
Alexandra Buriko: As we already, I think, discussed a couple of questions ago we really do not see any cool down on the mortgage loans so far. And I think the concern is now more around the consumer lending rather than mortgage loans and the rates the mortgage loans are currently granted at still quite attractive for the, the majority of our clients. And you have to take into account that the salaries arriving as well as the normal growth of salaries was about 9% this year which of course helps our clients to service the loan even if and when the rates would be elevated. So we are not particularly concerned that there will be major slowdown in the housing world. Thank, thank you very much.
Operator: We want to move on to our next question from Andrew Keeley of Sberbank. Please go ahead. Your line is now open.
Andrew Keeley: Good afternoon. Thank you for the call. I have a few follow-up questions on provisions. You have four quarters now in a row of, of releasing provisions on the mortgage book. I'm just wondering if you can add any kind of color behind that, and whether you expect this trend to continue. I'm also wondering if you can tell us whether provisions on the financing of the Euro cement deal. Yeah. Whether you can give us any numbers as to how much stay, where in your in your provision charge. And I'm wondering also whether you see any risk of further write downs on the Ukraine business, thank you very much.
Dzhangir Dzhangirov: Thank you very much for your questions Andrew. As we're learning to discuss on our mortgage day the mortgage portfolio performance really very well, and our cost of freight was even negative in certain periods. This may not happen this may not continue internet list. So we, we expect that going further cost of risk will, will be positive of course, but we're not expecting it to be a, you know, high because as we said on the, on the mortgage state the performance is really good because the, the, the clients actually pay a rebate loans even in the assessed periods, we don't disclose the numbers for particular transactions and now on the Ukraine transaction Alexandra will you please comment.
Alexandra Buriko: Yeah Andrew on Ukraine we believe that all the necessary provisions basically recorded during this quarter the mouse was also connected to some reversals of provisions that redundant at the individual level during the quarter, so that basically led to this obstacle increase. However we do not foresee that any further provisions for Ukraine there'll be necessary.
Andrew Keeley: Okay. Thank you. And just the final question on your the kind of current environment given we're kind of entering another COVID related lockdown. Do you -- when we thought this last year, the second quarter was obviously quite challenging, particularly in terms of the fee income dynamics, do you have expectations that this could also be quite a dampener in the fourth quarter for your fee income growth, or it's just kind of too hard to say at this stage.
Alexandra Buriko: Thank you very much for your question. So far as, you know, the so-called lockdown or this restricted period only accounts for three days in addition to the whole days that were in place in any event. And we do not anticipate that it will kind of take a major charge it the race that our payment business is doing and our fees and commissions, despite quite high rates of COVID cases to recently, they have not seen any kind of flow down in consumption or consumers spending. All of that has been growing at quite a healthy pace. And of course we expect some regular elevation driven by the new year's holiday as usual. So, so far quite to positive on that. 
Dzhangir Dzhangirov: And we're forced to not expect any significant little sorts of provisions based on the three days lockdown.
Operator: We'll take our next question from [indiscernible]. Please go ahead. Your line is open.
Unidentified Analyst: Yes. Thank you. Thank you for taking my questions and thank you for the presentation as well. Just a follow-up on Gabor's crisis. And actually you mentioned that could be pricing pressures in 2002 on the deposits, obviously, but it sounds like there's not so much duration risk on the balance sheet. I mean, 10 billion rubles for a 105th shift in the curve. Doesn't sound like a lot of money. So perhaps can you help us reconcile those two comments and also tying into that? Is there any reason to expect that radically lower margin next year? I know you wouldn't want to guide anything from at this point, but it would be nice to get, get your view on that. And my second question is how does your payment business and interchange rates are affected from the rate hikes? So just, just to get a sense of the fee growth next year, perhaps thank you very much.
Alexandra Buriko: Yes. Thank you. Thank you very much for your question. It's interest margin. I would just say, I think that there is no good reason to expect that our net interest margin would significantly decline next year in comparison now with the, this year you're right. So while a while we do expect some pressure on the deposit side. Obviously there will be some positive on the long side as well. So if, if I may just live with the debt for now and one, not one, the payments, business, and interchange rates you know, that some of the payments to the international card companies are USD and Euro denominated. So in an engineering way the rate hike actually helped her, our fees and commissions because our expenses are now lower in ruble terms just ruble appreciated on the backup isn't trade heights. Otherwise there is no connection.
Operator: There appears we have no further questions over to English at this time. I'd like to transfer over to the Russian side. [Operator instructions] 
Unidentified Analyst: They still have difficulties. I will read the questions that they are publishing in the chat. Question from [indiscernible]. You said that there can be various solutions to the Ukrainian subsidiary. Can there be a decision by the end of this year?
Dzhangir Dzhangirov: Thank you for much for your question. I think as soon as we have this clarity and the supervisor board takes the decision, we will course make a disclosure today. We don't have anything to say on this matter.
Unidentified Analyst: Good evening. Can you hear me?
Dzhangir Dzhangirov: Yes, we can hear you very well.
Unidentified Analyst: Good evening. I have a question. Well, the operating income, which has decreased, can you explain the reason for that?
Dzhangir Dzhangirov: Yes of course. In the third quarter, inside the operational income, we posted the provisions on the Ukrainian subsidiary. And if you add vet to the fitness figures, a big figure that corresponds to the quarter on quarter growth. So we'll have to keep up these provisions posted on the book for this third quarter.
Unidentified Analyst: Thank you. Understood. [Operator instructions]
Operator: [Operator instructions] Another question from Interfects.
Unidentified Analyst: At the end of the year, we were bank is planning to evaluate the essence for the ecosystem, and maybe to bet on some of them, will you review all of the assets or in certain areas in which areas what's the probability of exiting some of them and what will be the condition for making the decision on exiting a loss or something else.
Dzhangir Dzhangirov: Thank you for very much for this question. We are in principle during our business planning procedures, we're doing this regularly. We're looking at all of our assets on a constant basis, and this year, because our [indiscernible] developing, we will carry out this procedure as usual, the number of assets we can't name right now. And if any decisions are made, we will disclose this information and tell you about it. But in terms of the key drivers in decision-making, it's not the loss, but the synergies with the ecosystem, whether they're high or low, the prospects for growth, which we'll see considering the changes that happen right now. Thank you.
Unidentified Analyst:
Alexandra:
Alexandra Buriko: The market participants as a market participant, of course, react to all the changes that are currently happening. And considering the previous changes of the curate, we raised our own rates for promo campaigns, for deposits and changed the rates, all various facilities. So general we're moving along the main market trends. I can say that we are liking, be hardened in some way, we will have to look on the rate for deposits and for loans, it won't be anything too much different from the general flow. Well, as to look at the market and move along the way.
Unidentified Analyst: Thank you. I have another question from the chat. Is Sberbank susceptible to interest rate risk, especially in the situation where the key rate is increased?
Dzhangir Dzhangirov: Thanks for this question. As part of the previous question, I think maybe you haven't heard this positively. I'm sensitive to that ever CRS parts of it, of the loans to corporate more than 40% are given using floating rates. All the mortgage that is should Leslie also has a floating rate. So sensitivity into a parallel shift is about 1% from RUB5 billion to RUB10 billion in annual terms. So if you multiply that by three, for RUB15 billion to RUB30 billion, I will add that with a very big growth of phrase and the normal unisex assessment period, but it has to do with the effect, whether there's a one-off or not, or will it continue raising the rate with the linear effect is what Alexander just said, RUB15 billion to RUB30 billion.
Unidentified Analyst: Hello. One more time. There are two questions on the ecosystem indicators we saw and very sizable girls have experience in the structure of operational expense over the coal group, have a question, is it commonplace either the situation to which we must get used to that the expense will have to grow with this speed? In another question, the cyber security was also good before me, but since the third quarter thing, something happens there and the revenue field, and also deteriorated. Why is that?
Dzhangir Dzhangirov: Okay. I understand this question. I think in here as follows, we discussed it, but of course, while our non-financial businesses start to grow and expense, since the day show will also have to grow and the grills off expense will be comparable to the growth of revenue. The revenue in nine months grew three times. And of course the expense also grow with this rate. I may be repeating cultural quarter. They are at the stage when they are sort of conquering the market, go to market and sell more cars, very aggressively and master growing Buspar, mega market multi-country global platform, which was voiced in the second quarter is very, very young. And they will continue to grow very fast or rather one time revenues and expenses will grow. But in general, the share with OpenAir financial businesses will grow. But as we're remember, we're looking at the March and LT and our goal is to bring these businesses to the breakeven point and we'll track the situation so that the expenses grow no faster than the revenues. That's the first part. Second part on the buy zone is 600 security units. Fortunately, they show very good growth, quarterly revenue. So 10 indicative stories, because it depends on the contracts, which are not very evenly distributed. It's a B to B segment with very big contracts. Don't happen always, but they generally have good performance, which we are actually proud of. Thanks a lot. There are no further questions on the line and no further questions on the chat. We'll have a question. Hello. I would love just to specify during your speech to enter this, what's your forecast on all financial businesses is for which period go for 2021. Thank you.
Dzhangir Dzhangirov: Thank you very much. Have I asked them over the day and we'll see each other at the close of the fourth quarter. Ladies and gentlemen, with this, the conference is over. You can disconnect.